Operator: Greetings, and welcome to the Calavo Growers, Incorporated Second Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Lisa Mueller, Investor Relations. Thank you. Lisa, you may begin.
Lisa Mueller: Thank you, operator, and thank you all for joining us today to discuss Calavo Growers second quarter 2021 financial results. This afternoon, we issued our earnings release, and this document is available in the Investor Relations section of our website at ir.calavo.com. I'm here today with Jim Gibson, Chief Executive Officer of Calavo; and Kevin Manion, Chief Financial Officer. On today's call, management will provide prepared remarks, and then we will open up the call for your questions. Before we begin, I would like to remind you that today's comments will include forward-looking statements under the federal securities laws. Forward-looking statements are identified by words such as will, be, intend, believe, expect, anticipate or other comparable words and phrases. Statements that are not historical facts such as statements about our outlook for revenue and adjusted EBITDA are also forward-looking statements. Our actual financial condition and results of operations may differ materially from those contemplated by such forward-looking statements. Discussion of the factors that could cause our results to differ materially from these forward-looking statements are contained in our SEC filings, including our reports on Form 10-K and 10-Q. With that, I would now like to turn the call over to Jim Gibson. Jim, please go ahead.
James Gibson: Thank you, Lisa, and good afternoon, everyone. We appreciate you joining us to discuss our 2021 second quarter results. I'll kick off the call with a high level overview of the quarter and current state of our company and the industry. Kevin will then as in past quarters address our second quarter financial results, our balance sheet, and provide you with guidance based on our near-term outlook and the evolving trends we are seeing in the U.S. economy as it begins to emerge from the pandemic. Then, we will open up the line for questions. We are very pleased to report revenue that was essentially on par with last year, especially considering second quarter 2021 was impacted by the pandemic for the full three months compared to only 1.5 month last year. We are also pleased with a 9.5% increase in EBITDA compared to last year. This gives us comfort that the long-term trends for the business are positive. Our core avocado business continues to experience solid demand, with the first half of 2021, we recorded the highest volume we have seen in the last five years. Reflecting growing consumer acceptance across all of our end markets, avocado volume grew 9% in the second quarter, although elevated supply from the strong crop out of Mexico suppressed pricing. However with our team’s skillful management of both sourcing and volume growth, we reported Fresh segment gross profit in line with historical norms. With our RFG and Foods segments, we saw a return to year-over-year sales growth from improved demand in the retail grocery channel. The RFG segment did experience headwinds at the start of the quarter with extreme weather events in Texas and the Pacific Northwest, which caused us and our customers to close some facilities and also created quite a bit of disruption for our employees and their families. Weather also led to poor quality of imported fruit, which also often delayed products coming in from our ports. We are now in the domestic season, so this issue is not expected to impact us in the next quarter. Despite these challenges and excluding the comparative impact from the April 2020 closure of our Midwest co-packing partner, I am proud of the team's efforts as RFG sales increased 16% year-over-year. We continue to introduce new seasonally relevant products in the fresh-cut produce category that align with our commitment to provide our customers with healthy and convenient meal solutions. While we are seeing positive signs as the economy reopens, we have yet to see a full recovery of the foodservice industry, which includes hospitality, lodging, and restaurants. Anecdotally, we are hearing from some of our hospitality customers that they are forecasting a return to normalcy by the fall at which time they expect to re-launch their foodservice offerings. We are encouraged about that timing, but for many foodservice operators, it is not as easy as turning on a light switch, the process to start things up again takes time, particularly given the current tight labor market. While we expect our foodservice business to fully recover, it is likely to take more time. We are fully poised to benefit when it does happen. We are also quite encouraged by the continued growth in our international business in both the Fresh and Foods segments. Demand for guacamole, for example, continues to increase, and our near-term outlook remains favorable with a number of new customer opportunities. We are seeing good traction in Asia and are preparing to launch in Europe in the third quarter. We invested in additional personnel earlier this year, and we are very excited about our future growth potential. We also believe that our guacamole offering expands into these markets. It opens the door for our avocado business as well. While these business lines will have different supply chains, we see a great opportunity because our customer base is pretty much the same. While the international business is small as a percentage of our overall revenue base, it represents a meaningful growth opportunity going forward and we should continue to see more lift in the third quarter. Another potential upside for our international business is our Jalisco packing house. The Mexican government has rescinded its ban on importing potatoes from the U.S. regulatory limitations on exporting avocado from Jalisco should be lifted soon. This would pave the way for the USDA to approve the region to sell into the U.S., and we will also have the effect of opening up the international side as well. For example, Japan and China do not accept fruit from Jalisco because they follow USDA guidelines, and the State of Jalisco does not yet have USDA approval. We have been shipping to these markets out of Michoacan, but if USDA approval were to open these regions, our shipping from Jalisco would be a smoother way for us to build our international business to these markets. With respect to labor, we like many businesses across the country right now are experiencing challenges in staffing. We are experimenting with different options to attract and retain people such as wage increases, periodic bonuses, and company-sponsored vaccinations. Our internal teams are working to create tailored employee retention plans that will reduce turnover and lead to a more stable and loyal workforce at our facilities. And as always, employee safety and well-being remain our top priority. We have spent a significant amount of time evaluating our portfolio of products in manufacturing facilities to determine the optimal mix; and we will continue this process, particularly in light of labor shortages and rising freight costs. From an ESG perspective, Calavo is looking to the future with a focus on a number of fronts, including building our brand to bring innovative, healthy, and convenient value added products to our customers and the marketplace, utilizing technology to enhance our operations and improve our supply chain, embracing agricultural innovation, focusing on reducing food waste and continuing our sustainability commitment in all the communities where we operate. We are pleased to share that despite the challenges presented by the pandemic, we were able to make great strides on our transformational journey to become a more nimble company. Our third quarter annual sustainability report will be published later this month. I am proud of our recent achievements that include an 8% reduction in our Scope 1 and 2 carbon emissions from 2019 to 2020, new projects to address food waste and electrical usage, and a retail shrink reduction through the use of food preservation technologies we have deployed. Finally, at our Annual Meetings with Shareholders, we confirmed our plans to reduce the size of our Board over time from 11 to nine directors, which is more in line with the company of our size. We also presented our three-year plan to the Board, which included succession planning and information technology investments necessary to address growing data and security needs as we continue to consolidate under our one-company initiative. Included in that plan is our goal to drive double-digit growth based on three pillars; organic growth, international expansion, and strategic M&A activity. In the meantime, we remain focused on the things we can control and on advancing our near-term objectives. We continue to monitor inflation, the labor market across the hospitality and foodservice industries, and our various supply chains to get a better read on how the second half of the year will evolve. We are optimistic about our long-term prospects and continue to focus on our strategic initiative, capitalizing on opportunities to increase operating leverage furthering our sustainability initiatives and realizing synergies across the entire organization with the goal of improving profitability, sustainability, and shareholder value. To that end, we are launching Project Uno, which is a strategic review of our business from top to bottom. We will be engaging a consultant for this project to identify opportunities to enhance revenue growth, streamline operations, drive efficiencies and make investments that strengthen our competitive position and improve margins over the long-term. The project is in its early stages and we will provide more details as it progresses. With that, I'll turn the call over to Kevin.
Kevin Manion: Thank you, Jim, and good afternoon from Global World Headquarters in Phoenix, Santa Paula, California. We are pleased you chose to join us as we know you have other earnings call options today. I'll start by discussing our financial results for the second quarter, followed by our balance sheet and outlook. Please note that all comparisons are year-over-year unless otherwise noted. We will also be discussing non-GAAP results and a reconciliation of non-GAAP financial measures is included in our earnings release and 10-Q. We also have an updated Investor Relations presentation on our website, which is ir.calavo.com. On a consolidated basis, second quarter revenue was $277 million, which was at the high end of our guidance range and a slight decline of 1% or $4 million year-over-year. This was primarily driven by two factors; lower tomato revenues, which decreased 31% from last year due to a late start in the season and had a negative impact of $6 million, and 2% lower overall avocado revenue which was positively impacted by 9% volume growth, but negatively impacted by 10% lower avocado average pricing. Gross profit increased 2% year-over-year to $22.6 million and our gross profit margin percentage expanded to 8.2% up from 7.9%. The increase in gross profit and margin percentage was mainly due to improvement in the Fresh segment as we delivered higher avocado gross margins in the quarter with increased volume of 9%, while maintaining our historical gross margin per case rates. These improvements were partially offset by decline in gross profits in the RFG business unit due to a number of factors. As I mentioned during our last earnings call, at the beginning of the quarter, we incurred losses of $500,000 due to increased spoilage on imported fresh fruit and vegetables resulting from ongoing port delays from the severe weather events in Texas and the Pacific Northwest, that also created temporary disruptions in production and at the tail end of the quarter, higher labor costs due to the nationwide labor shortage. SG&A expenses declined 6% to $13.7 million from $14.5 million a year ago, primarily due to lower stock-based compensation and lower sales broker commissions. Adjusted EBITDA was $15 million for the quarter, an increase of 9.5% compared to $13.7 million the prior year and came in at the middle of our guidance range. Net income for the quarter was $8.8 million or $0.50 per share, up from a net loss of $3.3 million or $0.19 per share loss in the prior period. Adjusted net income was $7.7 million or $0.43 a share compared to $7 million or $0.40 last year. Now moving on to our three business segments. Sales in the Fresh segment decreased 5% year-over-year to $161.7 million from $170.9 million in the second quarter of 2020, mostly driven by lower tomato revenues. Importantly, while segment revenue declined, avocado volume increased 9% from the prior year as consumer demand for avocados continues to grow. Similar to last quarter, this quarter's high volume was offset by a 10% decline in the average selling price as a result of increased market supply due to the forecasted large Mexico harvest this year. And unlike last year, when foodservice and wholesalers that serve smaller retailers and restaurants help absorb supply, COVID continue to constrain sales to these customers in the second quarter. As a reminder, foodservice is about 20% and wholesalers comprise an incremental 6% of our Fresh revenue. Gross profit in the Fresh segment increased by $600,000 to $15 million or 9.3% of revenue up from $14.4 million or 8.4% of revenue in the second quarter of 2020. Our gross profit per pound of avocados was consistent with last year's second quarter at $0.13 per pound. On a per case basis, our gross profit per case was $3.30, which is within our historical target of $3 to $4 per 25 pound case. Despite the lower avocado pricing, we continue to do a good job of managing growing consumer demand and the pricing spread. In RFG, sales increased 3% to $96.3 million in the second quarter from $93.5 million. The increase reflects improved demand as the country reopens from the pandemic, additional sales and regions where we have added manufacturing capacity in the past few years and our team's effort to deliver new products and sales channels to offset last year's closure of our Midwest co-packer which occurred in April 2020 and had a $9.8 million impact. Excluding this co-packer impact, revenue would have increased 15% year-over-year. Gross profit for the second quarter decreased to $2.3 million or 2.4% of segment sales compared to a gross profit of $2.7 million or 2.9% of sales in the same period last year. This decline was mainly due to increased labor costs from a very tight labor market and the resulting need for more overtime costs, which started in April. In addition, as I noted during the previous earnings call, RFG experienced lower yields and higher cost on imported fresh fruits and vegetables resulting from ongoing port delays as well as some temporary disruptions in production due to severe weather events in Texas and the Pacific Northwest this past February. For the Foods segment, sales increased 16% year-over-year to $21.6 million due to improved demand as foodservice began recovering from the pandemic. Also, following the staffing investments we made earlier this year, international revenue increased 36%. As Jim mentioned, while we have seen improvement in demand from our foodservice customers, we believe that return to normalized pre-pandemic demand will occur later this year as many segments of the market are still reopening and ramping up. As a reminder, foodservice comprises about 50% of this business. Gross profit was $5.3 million or 25.6% of sales up from $4.9 million or 27.6% of sales in the second quarter of 2020. The higher gross profit was primarily the result of higher volumes. Turning to our balance sheet. We ended the quarter with $144 million of cash, liquid investments and available debt capacity, which is an increase of 30% compared to $111 million last year. Total debt at April 30, including finance leases was $49 million and our leverage ratio was 0.8x. We continue to have a strong balance sheet and low leverage, positioning us to take advantage of potential opportunities and invest in current infrastructure for the future. As we look to the third quarter of 2021, we see a continued near-term impact of a slow recovery in foodservice demand, the nationwide labor shortage and higher commodity and freight costs. While we continue to see growing avocado volume, we believe that the same high supply dynamics we have been experiencing this year will keep margins at lower levels than the prior year. Therefore, we expect third quarter revenues to be in the range of $280 million to $300 million, which is a year-over-year increase of 7% at the midpoint, and adjusted EBITDA to be between $11 million and $15 million, which is a decrease of 43% at the midpoint from the third quarter of 2020. To be clear, this forecast includes continued near-term inflationary pressure on labor, raw materials and freight. We anticipate that many of these pressures could be rectified by year-end as we work on pricing initiatives with our business partners and through other internal operating efficiency initiatives. As a reminder, the impact of Project Uno though will not be seen until next year. Finally, Jim and I look forward to seeing you at two upcoming virtual conferences. The Baird Global Consumer Conference being held on Thursday of this week and the Jefferies Consumer Conference on June 22. With that, I'll turn the call over to the operator for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Ben Bienvenu with Stephens Incorporated. Please proceed with your question.
Benjamin Bienvenu: Hi, good evening, good afternoon, guys.
Kevin Manion: Hi, Ben.
Benjamin Bienvenu: I want to start on the RFG business. Margin’s a little bit lighter than expected. You called out some of the factors, a lot of which sounded transitory, some of which sounded like they might linger for the balance of this fiscal year. Could you help kind of – if we try to bridge that margin back to what I think is a more normal margin in the mid to high single-digits, kind of the magnitude of the pieces of freight, labor, fruit yield, sounds like fruit yield should get better now that you're into the summer and you're in a domestic supply. Labor and freight though maybe lingered, maybe just help us think about the cadence of what that margin could look like, and in particular, relative to your guidance for the third quarter? That would be helpful.
Kevin Manion: Sure. So I think, let's start with, we are just starting to have the conversations with our customers for pricing actions. So, that's under way. The results at this point are unclear and mixed. Some of our retailers fully expected it and we can get them implemented relatively quickly, some of the larger ones though, it may take a little more time. So, it is transitory when that part repairs itself. But specifically, if you look at labor that's probably where it's a little low, call between $4.5 million and $5 million of negative impact this quarter. Again, we've raised rates for our people. We've also put incentive bonuses in there for staying a certain amount of time. In fact, we're doing everything we can to get people to come in. So, right now our overtime rates are high. Frankly, we're running about 20% less people than we would like to have, and so that's a difficult environment nationwide. On the material side, which includes freight because most of our stuff comes in, freight included in the commodity cost, that's about $4 million to $4.5 million worth of additional costs for the quarter, and then I think as we look at just going on the pure commodity costs where I can identify that separately from freight, we're probably talking somewhere between $0.5 million to $1 million. So, if I were to sort of bridge to it, I think your model would look like it's almost all in the RFG side of things.
James Gibson: And as well as that Kevin is kind of indicating, we're moving to kind of inflationary side of things to attract new labor in a very tight market, but we don't – probably the bigger issue that drives this is just bringing labor in, and so we're really looking at that September time period for pretty much schools to be back in session fully, child care to be back into place and then people beginning to being centered to come back kind of into work as unemployment benefits begin to recede, and so that would be the point where it would be a bit transitionary from this period into the next as we get the new labor group. I think some of those inflationary costs are probably going to linger because once they're in place, they stay from that point of view.
Benjamin Bienvenu: Okay, that's great. That's super helpful. Thanks for all the detail. On the avocado pricing kind of post Cinco de Mayo prices have been bouncing around a little bit, could you just talk a little bit about kind of what you're seeing in supply and demand. I know you noted that we're kind of on the tail end of a large Mexico crop, but how does supply look? It sounds like demand is still quite good. Just kind of a lay of the lands there would be helpful for us I think here.
James Gibson: Yes, I think what, and we probably talked about this before is that, certainly on the avocado demand side, it's continuing to be strong and in that general upward trend, but much like we've talked about throughout the pandemic is that there's just not, doesn't seem to be a lot of appetite for those holiday lift kind of concepts that they were historically used to, meaning, moving into Cinco de Mayo or Memorial Day or things like that are generally in this environment a little bit flatter than they have historically been. And so we don't get that traditional lift. And yes, currently we're in that place where the Mexico supply chain, the Mexican market is very strong, and California is coming into play as well, kind of in that, for us is a little bit of a later start, but in that kind of April period both were in place and so certainly supply was up against demand in that environment.
Benjamin Bienvenu: All right, great. And then if I could just ask one more quick one. On Project Uno, what was the genesis of that? Help us think about where you think today at least as far as you're aware, what's the greatest areas of opportunity are for you to address? And you said more detail on that later this year. Maybe just to the extent that you can walk us through kind of the critical path of work that's going to be done, so we can get a frame or reference for kind of the timeline we should expect to hear more details on it?
James Gibson: Right, so I think the conversation kind of continues on. It's the concept of the three business units that Calavo exists in and this company of one kind of thought process that I'm implementing. So we've done quite a few things on the structural side to begin to move in that direction. But now, I've kind of been here just a bit over a year and seen all the business units operating. I think it's a really good time to bring in a third-party with another set of eyes that has the industry experience overlooking, product sets, the dynamics of concept of our Foods division and our Renaissance divisions working together, and then it complements very well the timing that we're sitting in right now, which is this concept of constrained labor and is there kind of a paradigm shift in the concept of how much labor is available versus the labor intensity in the products that we make and what is the best product set for us to be able to evolve to. And so I think as we come into this, we're – as we mentioned, we're just in the early stages. We've got several companies that we want to look at to begin to talk to about working with us. We'll probably start that up probably by the end of the next – of the third quarter and then as Kevin mentioned in his discussion is that we would expect that maybe we will have benefits moving into the New Year.
Benjamin Bienvenu: All right, great. Best of luck and thanks for all the detail.
Kevin Manion: Thanks Ben.
James Gibson: Thank you.
Operator: Thank you. Our next question comes from Mitch Pinheiro with Sturdivant and Company. Please proceed with your question.
Mitchell Pinheiro: Hi, good afternoon.
James Gibson: Hi Mitch.
Mitchell Pinheiro: I want to just look at RFG for a second. When you go back like two years ago in the second quarter, have you – I think it was maybe 100 – I forget the number $140 million of revenue and we're at $96 million. Could you sort of break that down, like how much of that was either retail business lost. We got the co-packer piece, but versus – and I know a lot of its foodservice, but can you break that down a little more? I'd love to know how retail has been impacted here?
James Gibson: Yes. I think we're talking about is the Midwest co-pack operation was a very central strong player kind of in the Renaissance Group and so that was in play in that time period. And what we're indicating now is that, in the absence of that player, the existing facilities that are Renaissance are beginning to grow out of the pandemic and are beginning to access more business and finding success in the market places where they operate. On the Renaissance – go ahead.
Mitchell Pinheiro: I was asking more, I'm sorry, I was asking more about, I understand that the co-packer thing is an impact in the difference, but I was really looking at how much is retail been hurt at RFG with new packaging and different methods to markets at the retail levels. The olive bars and sandwiches and salads and deli. How much has that helped? Or has it hurt – I mean, or hurt?
James Gibson: Yes, much – right. We talked about this a little bit, the evolving kind of pandemic is that as it came into play in retail, a lot of our deli type business which was oriented on grab-and-go was certainly impacted, meaning sandwiches, salads and wraps as people were working remotely they weren't passing through the grocery stores, kind of during lunch time to grab a sandwich or something like that. So that was definitely impacted early on and then the Renaissance team continues to evolve and begin to work on items that would support people working remotely, eating at home and so convenient value added, vegetable on trays, things like that that would support people that are just trying to cook at home and find good healthy food. So they kind of evolved and addressed that and now we're kind of coming back out of the pandemic and so the product sets are a bit stronger, grab-and-go is kind of coming back to a degree, and so there is beginning to be a lift in that environment. As far as the cut fruit and vegetable type business, we're seeing kind of a move right now back to the traditional lift that Renaissance is used to seeing kind of as we move into summer activities and that is more what I called normalized as we move into this season. Our issue right now is not so much the demand side, it's really as we've talked a little bit earlier, the constraints associated with labor.
Mitchell Pinheiro: And then have you seen anything – still on RFG, have you seen anything in the marketplace, are you still of the view that the days of the open-air salad bars are over at retail, and it's going to be a pre-packaged type of delivery to the consumer? Or I mean any changes to your view there? What you're seeing in the marketplace today that your customers are saying?
James Gibson: Yes, I think we've heard in lately is that some of the salad bars are opening back up, but it's retailer by retailer.
Mitchell Pinheiro: Okay. So you don't see this. Do you see it ever normalizing going back to where it was and is that a good thing for RFG or would you rather stay in sort of the current pre-packaged format, the grab-and-go format?
James Gibson: Yes, I mean, the one thing about Renaissance is historically it's been a solutions provider and so generally based on what the retailer is looking for Renaissance has the capacity and capability to respond to that. And so if, as we were in the pandemic, a lot of the deli's were shutting down and so we were moving to the pre-packaged broccoli salad, but as the deli's open back up, we move back into supplying broccoli salad kit that the deli prepares behind the glass. And so there is capability on each side and I think the initiative for Renaissance is that as it is opening up it's moving to respond to what the customer is looking for.
Mitchell Pinheiro: Okay. And then I guess just last question and it goes back to the pricing trying to get higher prices. On the Fresh side, particularly in the avocados, I mean, where is there opportunity? I mean can you price in foodservice? Is that harder or is it equally hard both on the retail side and foodservice?
James Gibson: Yes, I think as we've talked before on avocado pricing, we're moving inside of the market and working to maintain our margin inside of the cost price scenario and that serves both retail and foodservice virtually equally from that side of things. The big deal for us in the volume kind of scenario is that we’re out in the harvest, we're taking all sizes and all grades. And so as we've talked kind of before inside of the pandemic, kind of in the absence of parts of foodservice it inhibits us in some fashion on the margin side, because we don't have outlets for all the different sizes and grades. And so when foodservice is fully in play, generally because a lot of that foodservice product is used and brought out in service, they can be like a number two grade, which allows us to have nice outlets all the time and it balances our portfolio and allows us to lift our margin inside of how we perform there.
Mitchell Pinheiro: Okay, thank you for your time. Appreciate the questions.
Kevin Manion: Thanks, Mitch.
Operator: Thank you. Our next question comes from Ben Klieve with Lake Street Capital Markets. Please proceed with your question.
Benjamin Klieve: All right, thank you for taking my questions. Just a couple from me. First a quick clarifying question on Project Uno. Did I hear correctly, you're still looking to identify the consultants that you're going to work with? And as such, this isn't going to really start in full here for – later this year? Or do you have somebody named and you've begun that process really kind of in depth already?
Kevin Manion: We've narrowed it down pretty quickly. They've not been engaged yet. So you're right, there is a start-up time still to come.
Benjamin Klieve: Okay. All right, very good. Thank you. And then only other question from me is, you talked about pretty considerable growth in the international business from both your Fresh and your Foods segment. You alluded to staffing investments there. I'm wondering if you could elaborate a bit on kind of how those investments that you made in staffing are going to really kind of drive that kind of a result here for quarters to come. If there is kind of one-time benefit that you saw in the quarter and maybe help us understand the scale of what that those international opportunities are within those segments?
Kevin Manion: Yes. So, we've hired a couple of guys that have some great experience. So investment is in people. And certainly we've also reached out to some of the relationships that we've historically had that have just supplied dormant the past many years. And so right now, international is about 3% of our total revenue as we put together our three-year plan, we can easily see that getting to about 10% of revenue given the investment and given the capacity that we've got. And that's why, as Jim mentioned the opening up of the Jalisco facility is another great opportunity for us, because we've got capacity there and certainly at this point we have supply. So whether it's the Fresh or the Foods business, they're very complementary and the customers overlap. So we've gotten off to a nice start. I suspect it might be a bit bumpy or inconsistent in the next couple of quarters, because we are bringing in new relationships, new customers and oftentimes it's sort of fill the pipeline, which is probably happening this quarter and next quarter.
Benjamin Klieve: Got it, very good. Well that was it from me. Thanks for taking my questions and I'll get back in queue.
Kevin Manion: Thank you, Ben.
James Gibson: Thanks Ben.
Operator: Thank you. Our final question comes from Eric Larson with Seaport Global Securities. Please proceed with your question.
Eric Larson: Yes, thanks, good afternoon, everybody. Quick question. Just to dive a little bit more into kind of the near-term avocado supply situation. Obviously we're coming to more the tail end of Mexico, but we have a pretty good U.S. crop right now and are now getting to the time of the summer this June, July period where you start getting a lot of the Peruvian fruit coming in. It tends to be lower quality, it tends to be more – it tends to drive pricing down a little bit. It's not as good a fruit, as what we produced in Mexico and United States. Can you give me some ideas of what we're looking at for maybe some of the U.S. supplies as well as international supplies coming in, in the next quarter or so?
Kevin Manion: Let me start with this, so you're right. Peru is starting to come in, I think that crop size what we heard is probably 20-ish percent higher than last year. Now that they've got more mature trees. On the U.S. side, this will be the down-ish year if you would. So every other year drops. We figure that's going be down somewhere between let's call it around 15%. I think it was somewhat negatively impacted by the heat and high wins we had in November and December. That probably push it from a 10% decline in inventory – supply level to maybe 15% down. So you're right. I think the Peruvian fruit pushes prices down and margins down a little bit. Again, the California food stays very localized to sort of the very west coast and the margins on that are always pretty good.
Eric Larson: And then the Calavo Foods business, I was expecting [indiscernible]
Kevin Manion: Hey, Eric. I apologize. Most of your question got broken up on – from what we heard or didn't hear. Could you repeat it?
Eric Larson: All right. Calavo Foods. The outlook for margins, can we get back into that 30% run rate by the time we get kind of through this fiscal year and how quickly is Foodservice covering in Foods? I mean, that tends to be a pretty good size piece of that business?
Kevin Manion: Yes. The Foods business historically has about a 50% foodservice component to it, so pretty big. I think right now, the margins are a little low, because the prices have risen on the prices we're paying. And again, as we look out the next couple of years, 30% is a little aspirational, but I certainly think we can be back in the 27%, 28% range. Part of that is, of course, as we are billing the international markets, we need to – we want to be very price competitive and so we're starting at ranges that are probably a little bit less than 30%.
Eric Larson: Okay. Thank you.
Operator: There are no further questions at this time. I would like to turn the floor back over to Jim Gibson for closing comments.
James Gibson: I want to thank you, our shareholders, for your continued support. And I look forward to updating you on our progress on our next earnings call. Thank you for your time today.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. Have a wonderful evening.